Operator: Good day, everyone, and welcome to the Genesco Third Quarter Fiscal 2014 Conference Call. As a reminder, today's call is being recorded. Participants on the call expect to make forward-looking statements. These statements reflect the participants' expectations as of today, but actual results could be different. Genesco refers you to this morning's earnings release and to the company's SEC filings, including the most recent SEC filing, for some of the factors that could cause differences from the expectations reflected in the forward-looking statements made during the call today. Participants also expect to refer to certain adjusted financial measures during the call. All non-GAAP financial measures referred to in the prepared remarks are reconciled to their GAAP counterparts in the attachments to this morning's press release and the schedule is available on the company's homepage under Investor Relations. I will now turn the call over to Bob Dennis, Genesco's Chairman, President and Chief Executive Officer. Please go ahead, sir.
Robert J. Dennis: Good morning, and thank you for being with us. Joining me today is Jim Gulmi, our Chief Financial Officer. As a reminder, Jim's detailed review of the quarterly financials has been posted to our website, along with the press release from earlier this morning. I'll begin today's call with a few remarks about our third quarter results, then I'll turn the call over to Jim for a review of the numbers and guidance. After that, I will return and give a little color on our operating segments before we open it up for questions. For the third quarter, we reported adjusted EPS of $1.43 versus $1.44 last year. Earnings in the quarter came in essentially in line with our expectations. Looking at guidance for a moment, the fourth quarter this year is unusually tricky to analyze and forecast given the shift of Thanksgiving, the early start to the Black Friday weekend and retail promotional environment that looked to pull traffic ahead of Thanksgiving. Thus far, the competitive environment in the U.S. has been reasonable in our market categories. But because of the short holiday selling season, we recognize that the promotional atmosphere could easily change, adding to the uncertainty. Given all that, and a November that delivered sales somewhat below our projections, we are lowering our adjusted EPS guidance for the year slightly to $5.10 to $5.20. In the third quarter, total sales for the company were $666 million, essentially flat with last year. Our consolidated comp sales were minus 1%, which was an improvement from minus 4% in the first quarter and minus 2% in the second quarter. Easier comparisons through the period of Hurricane Sandy last year and a favorable line up of teams in baseball playoffs and World Series accounted for part of the improvement. Although the differential was not as dramatic as in previous quarters, comps for the quarter were again strongest in the direct channel, with e-commerce and catalog sales up 8% on top of a 9% gain in our last third quarter, as these businesses continue to benefit from merchandising and service-related omni-channel initiatives. We were particularly pleased to see a 5% positive comp for the quarter at Lids Sports Group. While some of that is attributable to the combination of the Sandy offset and the favorable post-season lineup in Major League Baseball, we are encouraged that the rest came from more fundamental improvements, a significant comp increase in the larger-format Lids Locker Room and Clubhouse stores, some improvement in our hat stores that we predicted as we anniversary-ed the challenges in the snapback category and continued strength in the direct business. We'll talk about all these factors in more depth after Jim covers the numbers. Finally, in line with our earlier expectations, which took into account the easier compare from Sandy, comps for the Journeys Group turned positive in October with a strong casual assortment, especially boots, helping fuel sales gains late in the quarter. Adjusting for Sandy, comps at the Journeys Group were roughly flat in October. The fourth quarter has started slightly below our expectations, with quarter-to-date comps flat through this past Tuesday. Our Black Friday promotional position was roughly the same in the U.S. year-over-year. Based on our interpretation of the sales calendar, we believe this puts us on track to a fourth quarter comp of 1% to 2%. And once again, we owe a successful Thanksgiving weekend to the stellar efforts of our retail management teams and the store associates that executed this critical holiday in even more challenging conditions, which included about 1,400 of our stores that opened at 8 p.m. or earlier on Thanksgiving day. We remind you that our overall comp comparison for Q4 goes against last year's minus 2%, by far the easiest quarterly comparison of the year. And now I'll turn the call over to Jim for a more detailed review of the numbers.
James S. Gulmi: Thank you, Bob. As usual, we have posted more detailed financial information for the quarter online, so I'll only be highlighting a few key points. Our adjusted earnings per share, as we break out in the press release, were $1.43 per share this year compared to $1.44 last year. Total comp sales were negative 1% for the quarter, with a 1% comp decline in our stores and a comp increase of 8% in the direct business. Last year, we had a comp increase in the quarter of 5%, which included a 4% increase in our stores and an increase of 9% from our direct business. Under 2-year stack basis, total comp sales are up 4%. Direct sales represented 7% of our comp sales in the quarter compared with 6% last year. Consolidated net sales for the quarter were $666 million, which is up 0.3% from last year. This year's third quarter sales were lower by about $12 million, due to the quarter beginning a week later than last year. The first week of August, which is near the start of the Back-to-School selling period, was in the second quarter this year, while it was in the third quarter last year. Gross margin in the quarter was 49.8% compared with last year's gross margin of 50.3%. I will spend a few minutes going over a couple of the items we have excluded from our non-GAAP adjusted numbers and from the full year's guidance. We excluded -- we have excluded a quarterly amortization of the Schuh deferred purchase price, totaling $3 million, or $0.12 per share, which is consistent with our guidance in the past practice. The amortization last year was $0.12 per share. In addition, as in the past, we have excluded asset impairments and other charges, which include network intrusion-related expenses and other miscellaneous litigation items, which totaled about $1.5 million or $0.04 per share in the quarter. In our last conference call, we discussed an accounting change to our EVA bonus plan, which we implemented when we filed our second quarter 10-Q in September. My online commentary includes all the background on this change. In the -- current quarter, our reported GAAP earnings reflected a $4 million impact from the accounting change. Last year's number included additional income of $1.8 million from the accounting change, which required us to add back income related to the bonus, which was earned last year. For the 9 months, the impact of the accounting change was additional bonus expense of about $16.5 million this year, while income was increased by $1.7 million for the same period last year. Adjusting for all of these items, we were able to leverage expenses by about 40 basis points in the quarter. Adjusted expenses as a percent of sales were 41.5% compared with 41.9% last year, due to a lower bonus accrual under our historical accounting treatment, which is tied to the operating performance this year compared with last year. Expenses in the quarter included Schuh's contingent bonus accrual of $3.9 million or $0.13 per share this year, compared to $4.2 million or $0.13 per share last year, which we do not exclude from any of our adjusted numbers. Just to remind you, this is a one-time payment built into the Schuh acquisition agreement payable in FY '16 and is contingent on Schuh's performance during the first 4 years of ownership. For the quarter, adjusted operating income was $55.5 million or 8.3% of sales compared with $55.7 million or 8.4% of sales last year. We ended the quarter with $32 million in cash compared with $40 million last year and with $98 million in debt compared with $92 million of debt last year. We spent about $1 million in acquisitions in the quarter and about $12 million for the 9 months. In addition, we spent about $9.5 million repurchasing approximately 148,000 shares of Genesco's stock, an average price of $63.75 per share during the quarter. For the 9 months, we purchased approximately 338,000 shares of Genesco stock at an aggregate cost of $20.7 million or $61.23 per share. Inventories were up 16% year-over-year in the third quarter. Square footage increased 6% year-over-year. Inventory per square foot increased 10%. Some of this increase is due to the 53rd week last year, causing us to close out the quarter later this year than last year. Since we were building inventories in anticipation of the holiday selling season, we received more holiday product due to the later quarter cutoff this year versus last year. In some cases, we accelerated receipts as we wanted to be absolutely sure we were well-stocked in anticipation of the holiday season. This was particularly true for Journeys and Lids. Schuh's inventory were actually down on a square footage basis. The Lids inventory increase did outstrip its square footage increase of 13%. However, we don't believe there is any meaningful fashion risk with this inventory, as much of it can be carried over from one season to the next. To that point, we continue to monitor snapback sales compared to our snapback inventory level. Currently, snapback sales are running at about 17% of Lids comp hat sales, and snapback inventories make up about 11% of Lids hat inventory. We expect to have reduced the Lids inventory increase by year-end to be more in line with the square footage increase. Also, we do expect some reduction in the overall Genesco inventory increase at year end, but we are still evaluating the amount of inventory we need to pull forward, due to the possible delays in shipments from China caused by the timing of the Chinese New Year. Therefore, some of the anticipated reduction in inventory levels could be offset by the pull forward of product coming from China. As we have said before, early February has become a more important selling period due to the timing of tax refunds. Capital expenditures were $38.5 million, and depreciation and amortization was $16.6 million for the quarter. This compares with $20.3 million and $15.7 million, respectively, last year. Year-to-date capital expenditures were $75.7 million and depreciation and amortization was $49.5 million. This compares with $52.9 million and $46.2 million, respectively, for the same period last year. Our store count increased to 2,537 stores from 2,448 stores, or a 4% increase. And square footage increased 6% compared to last year's third quarter. Now I'd like to spend a few minutes on our guidance for FY '14. Our third quarter performance is essentially in line with our expectations. But even though November comps were positive, they were not as strong as we expected. We now expect adjusted earnings per share for the full year to range from $5.10 to $5.20. This equates to a fourth quarter range of $2.17 to $2.27, which compares with $2.16 last year and is predicated on an approximate comp of 1% to 2% versus our prior expectation of 3% to 4%. We are making this slight reduction to our previous guidance to reflect the slower-than-anticipated start to the holiday selling season and a higher-than-expected effective tax rate, as higher tax U.S. income will represent a larger share of total income than we originally planned. Consistent with previous years, this guidance does not include about $1 million to $2 million in expected noncash impairments, network intrusion expenses and other legal matters, offset in large part by the gain after expenses from the Journeys Herald square lease buyout. This compares with last year's noncash impairments, network intrusion expenses and other legal matters of $17 million pretax, or about $0.45 per share after-tax, which as you know, was excluded from guidance last year. In addition, we will continue to exclude the amortization of the Schuh deferred purchase price from our EPS guidance. The deferred purchase price amount in FY '14 is expected to be approximately $11.5 million or $0.49 per share. Finally, it excludes the effects of the accounting change related to our bonus plan of $14.1 million or $0.37 per share for the year. This guidance does, however, include our current estimate of the Schuh acquisition contingent bonus accrual of $13.7 million, $0.45 per share, which is expensed in our guidance. The following are assumptions we use to develop this guidance. We have an overall sales increase of about 2% for the year. Remember, last year's sales included an additional week, which added about 2% to sales last year. Our guidance on the high end assumes a gross margin decrease of about 30 basis points and positive expense leverage of about 30 basis points. This results in an operating income margin of about 7.6%, which is flat with the previous year. The tax rate assumption is about 37.6%, and the share count assumption for the full year is about 23.6 million shares. We are also expecting capital expenditures for the year of about $110 million to $115 million, and depreciation and amortization will be about $68 million. We are forecasting 174 new stores and an additional 14 stores acquired during the year. We are planning on closing about 60 stores. We expect to end the year with approximately 2,576 [ph] stores, an increase of about 5% over fiscal 2013. Square footage is expected to increase by about 7% for the full year. Lastly, we would like to give you some early directional guidance for next year. We expect EPS growth of 10% to 12% and low-single digit positive comp for fiscal 2015. The EPS guidance is subject to the same adjustments as in previous years, primarily excluding noncash impairments and the ongoing adjustment for the Schuh deferred purchase price. Additionally, this guidance is based on our prior accounting method for our EVA bonus plan. As all of you know, the back half of our fiscal year is when we make the bulk of our money. Historically, we have had about 60% of our sales and about 70% of our operating income in the back half of the year, and we would expect a similar pattern next year. In addition, in FY '14, the first quarter adjusted results reflected a reversal of bank bonus accruals due to underperforming of our expectations. We do not anticipate a similar bonus adjustment in the first quarter of FY 2015. Now I'll turn the call back to Bob.
Robert J. Dennis: Thanks, Jim. Now let's look at each division's recent performance in more detail. We'll begin with the Lids Sports Group, where, as we mentioned earlier, comp sales increased 5% in the third quarter coming on top of a 5% comp decline a year ago. We remind you that the Lids Sports Group comp was minus 10% in the fourth quarter last year, so comparisons eased substantially in the current quarter. While we anticipated that the group's comps would improve in the second half of the year due to a combination of initiatives and easier comparisons, the 5% comp gain was better than planned. Some of that came from the favorable lineup of baseball teams. For the quarter-to-date through Tuesday, comps for the group increased 2%. There were several key component to Lids' recent results, an addition to the favorable baseball outcome. Comps at our Locker Room and Clubhouse stores continue to outpace our hat stores and were up double digits, driven in part by increased consumer demand for NFL-licensed apparel. As you'll recall, the license transition from Reebok to Nike hurt last year's third and fourth quarters in these stores due to delivery issues on NFL apparel. These stores now make up about 20% of the group sales in Q3. The performance of these larger format stores, which represent the primary growth vehicle for the Lids Sports Group over the next several years, are validating our focus on localization of the merchandise selection and on using customization capabilities to differentiate stores. We believe we have broken the code for operating these stores successfully, particularly with regard to the merchandise mix, promotional cadence and an effective staffing model. Since the end of the quarter, we have completed the acquisition of a 7-store Canadian chain called Game On Sports in the Locker Room space, furthering our roll-up [ph] strategy. With respect to the Lids hat stores, third quarter comps improved versus recent trends, due in part to stabilization in the snapback category following the anniversary of price reductions we took in September of fiscal '13 in order to be more competitive, following wider distribution of the category. The initiatives we implemented to focus our selection within the category and to rightsize our inventory have paid off. Snapback gross margins were solid and inventories are in good shape. Generally speaking, the snapback trend is still pronounced and has lasted much longer than we expected. While it remains an important part of the business, we do see some signs of a gradual shift in demand back towards the core fitted category, which is of course, the sweet spot of the Lids business. Snapback comps in the Lids stores were minus 6% for the quarter, while comps in the rest of the store increased 2%. Snapbacks represented about 17% of our comp sales in the quarter, down from about 19% in last year's third quarter, but only represented 11% of our hat inventory at quarter end. So we believe our exposure is nicely controlled. The third quarter marked the debut of our first Locker Room by Lids Department at Macy's. We rolled out the first 26 shops on schedule and on budget, mostly in major NFL markets. And while it is too early to draw any conclusions based on the performance, we remain excited about the potential of this partnership as it provides access to Macy's large and loyal consumer base, both in stores and on Macys.com, where we have been up and running for about 3 weeks. We plan to open at least another 175 departments next year, with an average square footage per store expected to be from 500 to 1,000 square feet. Finally, at lids.com, an improved conversion rate and an increase in the average number of items per transaction drove exceptional growth. We are pushing ahead with our plans to have our entire inventory available online sometime early next year, which should further drive growth. Now, turning to the Journeys Group. While comp sales were down 2% in the third quarter, they were positive in October, with some help from the Sandy comparison, and are flat for the fourth quarter to date. We continue to see a general mix shift from athletic to casual in our sales trend. Given the significance seasonal emphasis in casual during Q4, which reflects our buy plan, we feel good about our overall assortment for the remainder of the holiday season. We are still excited by Journeys Kidz growth potential. Journeys Kidz also benefited from the shift to casual footwear as we got deeper into the season. Kidz comps were flat for the third quarter, going against a strong 12% last year, and fourth quarter to date comps were plus 2%. At Schuh, we continue to drive growth by adding stores. In the back half of this year, comp sales for Schuh have remained under pressure from a combination of tough comparisons of footwear market that currently lacks a must-have fashion trend and a marketplace that descended more deeply than the U.S. in the price-based competition. Comps were down 10% in the third quarter on top of 9% increase a year ago. As with the story in the first half of the year, the comp decline in our Schuh stores continues to be more a function of traffic than conversion. In our web business at Schuh, the opposite is true, with traffic up, but conversions down. And this is where we observed price competition to be most intense. We are confident that our product assortment is where it should be, and we look for improved results when consumers come back out for the holiday selling season. Comps for the fourth quarter to date at Schuh were down 7%. Schuh's comparisons remain challenging through the fourth quarter. So our expectation is for comp improvement to occur in Q1 when comparisons ease considerably. Even with Schuh's recent struggles, their full year results are tracking above the projections we assumed when we acquired the business in fiscal 2012. Year-to-date, we've added 15 new stores at Schuh. In the aggregate, our new stores are performing above their pro-forma-ed projections, despite the less-than-ideal operating conditions in which they've opened. Altogether, net square footage is up 18% year-over-year. We'll end this year with 95 permanent stores, up from 79 a year ago, and currently have plans to open another 13 in fiscal 2015. And beyond that, we remain optimistic about Schuh's continued expansion prospects. To support Schuh's growth, we are investing in a new 245,000 square-foot distribution center in Scotland to ensure that we have the infrastructure in place to support our plans. We are also adding a mini-warehouse in Central England. This will allow us to extend the cutoff time for next-day delivery on Internet and store customer orders from 5 p.m. to 10 p.m. and provide the platform from which we can further refine our service model, including in-store pickup options and potentially same-day deliveries, given its centralized location. This mini DC will have approximately 20 million people within a 2-hour drive time radius. Based on the results of this test, we could expand this mini-warehouse concept to another 5 or 6 new locations that would extend the same-day service offering to essentially the entire U.K. population. And the learning from this effort should also help us with our U.S. plans. Johnston & Murphy continues to be a strong performer. Johnston & Murphy posted its 13th consecutive quarterly comp increase, up 7% for the quarter, which comes on top of an 8% increase a year ago. And the brand remains on track for its best year in recent memory. The strong sales trend hasn't let up in the fourth quarter so far, with comps up 14%. Both retail and wholesale continue to be driven by strong consumer reaction to J&M's recent product offering of higher-priced dress and dress casual shoes and new marketing initiatives that speak to a much wider audience of men and women, particularly consumers younger than the brand has traditionally targeted. Our wholesale business continues to perform very well, with a sales increase of 15% both for the quarter and also for the year through the third quarter. Last year, wholesale sales increased 16%. This year, we'll add 6 new Johnston & Murphy stores, including expansion in Canada, as well as airports, a strategy we'll continue next year based on J&M's ongoing success. In addition, we expect to open 7 outlet stores, which we believe represents another great growth opportunity for Johnston & Murphy. Reflected in the J&M results for the quarter is the relaunch of the Trask line of footwear and accessories. We acquired the dormant Trask brand a few years ago and relaunched the line this past quarter at wholesale and at Trask.com. Process related to the startup had a negative impact of a little more than $600,000 on the J&M segment's earnings. Finally, the Licensed Brands group maintained a healthy operating margin despite some top line pressure during the quarter. While business has remained choppy, given the easier comparisons for the rest of the year, we feel comfortable that we can achieve our revised fiscal 2014 guidance. On a longer-term basis, we continue to be optimistic about the potential of our business and our ability to generate increased value for our shareholders. We updated our 5-year plan last summer, which goes out to fiscal 2018. The plan projects annual sales to reach $3.9 billion or a 5-year compound annual growth rate of about 8% through modest organic assumptions of 3% to 4% comp comparable sales growth, 4% to 5% store growth and a small amount of wholesale growth. Under this plan, operating margins in fiscal '18 hit 9% to 9.5%. The most recent 5-year plan forecasted that we will generate more than $1 billion in free cash flow prior to capital expenditures during this period. We estimate about half of that will be spent on new stores and renovations and on additional IT investments, including significant e-commerce investments. That leaves us about $500 million to be spent on acquisitions and/or stock buybacks, based on what the best opportunity is to drive increased shareholder value. This plan assumes an EPS growth rate of 14% before any acquisitions and/or stock buybacks. If, for illustrative purposes, we assume we spend all of the $500 million on stock repurchases at the current multiple and as we generate the cash, our EPS growth rate would be roughly 24%. In closing, I want to thank all of our employees for persevering through the recent challenges and especially for positioning the company for this holiday season and a bright future in the coming years. And now, operator, we are ready to take some questions.
Operator: [Operator Instructions] And we'll take our first question from Scott Krasik with BB&T Capital Markets.
Scott D. Krasik - BB&T Capital Markets, Research Division: Why or what's in the comparison for December and January that should allow you to go from flat to positive 1 to 2?
Robert J. Dennis: Well, it's 2 things, Scott. It's the comparison, and Jim can maybe walk you through the compares. But it's also adjust the calendar, right? You -- when Christmas is 1 day away -- further away, you end up with that quirky part of the very end of the month. So we have to -- what we do is we lay out our best estimate of what sales by day is going to be over the period. Which is, as we noted, is trickier this year. But based on that estimate, we think a flat comp through last Tuesday tracks us to a plus 1 to 2.
Scott D. Krasik - BB&T Capital Markets, Research Division: And then on the comparison, because I think you're up against, what, a minus 4 in November and you did flat, so what does it looks like for December and January?
James S. Gulmi: Well, we're not up against minus 4.
Robert J. Dennis: The quarter was minus 2 last year, fourth quarter.
Scott D. Krasik - BB&T Capital Markets, Research Division: Right. I mean, you reported November, what was -- I thought November was minus 4 last year.
James S. Gulmi: All together, I believe it was minus 3, minus 2.5 to 3.
Robert J. Dennis: It's more of the calendar, Scott.
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay, okay. And then in terms of the long-term plan, it's a minor tweak, but taking the operating margin outlook from 9.5 to 9 to 9.5, I mean are there any thoughts there on the structural changes within any of your businesses?
Robert J. Dennis: No, Scott. It's real simple. When we wrote the plan, we were coming off of a stronger base, starting base. So when the team rewrites the plan, revises the plan next summer, obviously, what we have just gone through will be the new baseline. So it's more reflective of anticipating a baseline from which we're going to grow, which is not where we thought it would be this year. So basically, this year is a miss. Does that make sense to you?
Scott D. Krasik - BB&T Capital Markets, Research Division: Okay. Yes. And just last, the gross margin pressure at Lids, are we through that because of the price anniversary-ing the price cut?
James S. Gulmi: We're through a lot of it. And it certainly on the snapbacks, all indications are that we're that we have anniversary-ed it and early indications for November are that, yes, we're beginning to normalize -- we are normalized -- we have normalized the gross margin at snapback. The other part of the business, which we have to wait to see our promotional might get. But right now, we have anniversary-ed the snapbacks.
Operator: And we'll take our next question from Mark Montagna with Avondale Partners.
Mark K. Montagna - Avondale Partners, LLC, Research Division: I just want to make sure I understood the SG&A impact from the accounting bonuses. Did that help or hurt this current third quarter?
James S. Gulmi: Okay, it helped. On an adjusted basis, Mark, it is confusing. I'm sorry, but it is what it is. On an adjusted basis, it helped, okay? It helped a lot because we added bonus accruals last year in the old accounting method. And this year, we did not add. So it did help this quarter. And that is the reason why we were able to leverage even with a negative comp.
Mark K. Montagna - Avondale Partners, LLC, Research Division: So then can you tell us how much it helped in terms of how many millions of dollars it might have helped?
James S. Gulmi: Well, the -- I tell you what, it -- I'll give you a range on a percent basis. Somewhere between 1% and 2%.
Mark K. Montagna - Avondale Partners, LLC, Research Division: That helped SG&A dollars by 1% to 2%?
James S. Gulmi: Yes, of overall sales dollars.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. And is there -- is that impacting fourth quarter in any way? This is ...
James S. Gulmi: No. Let's see, what happened is that if you remember last year, we were running pretty well through the 9 months, so we're adding to our bonus accruals. We then went into the fourth quarter and the fourth quarter was disappointing, as you might remember. So the bonus accruals were lower, running lower in the fourth quarter last year. We believe the reverse is happening this year. We're going to see some pickup in the fourth quarter, so the benefits that we have gotten in the last 3 quarters from the benefits from the lower bonus accruals, which we all can question whether it benefit for our employees. But nevertheless, lower bonus accruals will reverse in the fourth quarter and there's a possibility that the bonus accruals will be greater in the fourth quarter than they were last year in the fourth quarter, which will put pressure on SG&A in the fourth quarter.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay. So then, let's see, all right, yes, so that helps me understand the SG&A leverage. Then when you look out to next year, are there any key margin levers that we can count on? Because this year, it was the lower bonus accruals through the first 9 months, and then prior year's, you have the lower real estate, lower CapEx. Is there anything -- or should -- is next year highly dependent on got to get that 3% comp to leverage the model?
James S. Gulmi: Well, yes. When you say margin, there's 2 pieces to operating margin: One is SG&A; and one is your gross margin. And from an SG&A standpoint, we would expect it to be more normalized and we expect improved performance. So yes, we'll be adding to the bonus accruals, which will be a negative from a leverage standpoint. So we're more normalized and we'll have to get comps to leverage. On the other hand, hopefully, we'll see some improvement in gross margin in a couple of cases, so that could offset some of it to some degree. But yes, you're correct on the SG&A.
Mark K. Montagna - Avondale Partners, LLC, Research Division: So next year's SG&A hurdle is really a 2% to 3% comp as usual?
James S. Gulmi: Right, yes.
Mark K. Montagna - Avondale Partners, LLC, Research Division: Okay, all right. And then just real quick, Bob, when did you say the rollout at Macy's will be fully complete for the 175 stores?
Robert J. Dennis: First half.
Operator: We'll take our next question from Steph Wissink from Piper Jaffray.
Stephanie S. Wissink - Piper Jaffray Companies, Research Division: Just 2 really quick ones. Bob, I think you mentioned that the maturity curve of the snapback trend is extending a bit longer than you had anticipated. I just made a quick jot down. I think you said 17% of sales in Q3. I recall it was 19% in Q2. How should we think about your plans for managing that business down kind of over the next, call it, 6 to 12 months? And then on the long-range plan, as you kind of step back and look at that 3% to 4% comp growth on an annual basis, how reasonable do you think that is, just given that we've seen some moderation towards maybe a lower and/or low single-digit-type level here over the last couple of years?
Robert J. Dennis: Well, on the snapbacks, we don't manage it down. We respond to our customers' demand cycle. So what we're doing with a lower percentage of inventory is being cautious, treating it more or less like fast fashion, as fast as we can be in a branded category and reacting as we go. So we've got a very well inventoried store, so the other -- the rest of the non-snapback store is really there for the customers to work on. And we're there to react to further decreases in snapback, if appropriate. But we're not going to overreact and try to manage it down, because it's a terrific business with a very solid margin for us and we're not going to give that up. So we're going to see how it trends and we'll trend our inventory with it, reacting to the customer.
James S. Gulmi: Let me jump in on that one for a minute. I think the perception is that the faster we get out of snapbacks, the better it is. And the misconception is that snapback gross margins are very good. The price points are good. And the problem has been that they were extremely good 1 year ago and 1.5 years ago. So we brought the gross margin down to one of a normalized base right now. So there is nothing wrong with the price point in the gross margin with the snapback, it's we've been going against unusually high gross margins. So now it's normalized. So there is nothing wrong with that business. As Bob said, we'll manage it depending on what the demand is. But again, once it's stabilized and once the gross margin stabilized, which we believe it has been, it's not a bad business.
Robert J. Dennis: Yes. And Steph, on the comp gain, a couple of things to think about. First of all, if you look at our history in our 5-year plans, back to the beginning when we were doing them, they're never smooth, they're choppy. And generally, what happens is, after you have a tougher period, then you have a more robust period, part of this just related to the comparisons. So we're coming off of a lower dip in our business model, and it has to do with a little bit of -- as you well know, a little bit of staleness in fashion on the footwear side. And so, the one thing we need to do is, is we're accommodating that cycle. The other part is, we obviously, since the retail world probably won't be growing at 3% to 4%, maybe more 2% to 3%, we need to gain share. And that makes the omni-channel initiatives very important. And so, we're spending a lot of time and we're putting some dollars, significant dollars behind getting better at omni-channel in each of our businesses. And then the third thing I'd point out is some of the newer concepts as we -- and I'll use Locker Room as an example, but you could look at Journeys Kidz, Schuh Kids, they are still in that development phase where we get them better and consumers discover them. And so, it's that -- there is that upside comp performance as you continue to execute well. As we noted, the Locker Room stores were up double digits. Now some of that came from just the NFL year-over-year, but some of that is also just getting that business model grooved, and that also helps to drive comps.
Operator: Our next question from Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Just quickly, the Lids e-commerce business in the quarter was up 40%, is that correct?
James S. Gulmi: Yes.
Robert J. Dennis: Yes.
Sam Poser - Sterne Agee & Leach Inc., Research Division: And then it decels a negative 1 in November. What -- can you walk through what happened there?
Robert J. Dennis: [indiscernible] So, I'm sorry. You mean that the Lids?
Sam Poser - Sterne Agee & Leach Inc., Research Division: The Lids e-commerce business, in the -- in your commentary, Jim, was down 1% in the quarter to-date.
Robert J. Dennis: Lids e-commerce? No...
James S. Gulmi: I don't think that's right, Sam. I'm just looking at the -- oh, it is down 1%. Paul is telling me.
Robert J. Dennis: Sam, I'll have to go back and look. I don't know what timing issues are going on there. It relates to -- we report it as shipments, so I'm not sure if there are some offsets in shipments. I do know that if you look at the Black Friday to Black Friday comparison, so if you take the weekends, they were up significant double digits in terms of orders taken. So, yes, I'd have to go back and look at that.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay, I would love to get a follow-up on that, please.
Robert J. Dennis: Okay.
Sam Poser - Sterne Agee & Leach Inc., Research Division: The other thing is, in the Lids business, with the operating margin down as a much is it was, I mean, was it already getting promotional beyond the situation with the NFL and the -- on the snapback hats? Were you getting more promotional than you expected to get going into the quarter there?
Robert J. Dennis: Well, the operating margin decrease on Lids came both on SG&A and some gross margins. So we're still seeing a little bit of margin pressure there. And we did do some building up of some SG&A against some of the initiatives that we have in place, including things like Macy's and Locker Room.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Okay. And then lastly, how much of the inventory was -- like, how much of the inventory is early receipts versus, you said November sales didn't live up to your expectations is [indiscernible] say, risky inventory that might be part of [indiscernible] just because a trend didn't go quite as well as you expected [indiscernible]?
Robert J. Dennis: Sam, you're cutting in and out. I think I heard what you're saying. Look, long story short, Sam, right now we feel very comfortable with our inventory. A week makes a big difference. A lot of retailers have had the same kind of report with that week shift. You start bringing in a lot more goods even over the course of one week, so that's a big chunk of it. And beyond that, we look at our inventory position and we feel very good and feel very clean.
James S. Gulmi: But Sam, they're missing November from a sales standpoint, we said it's a little lower than anticipated. But we feel very good about our inventories. We said they're a little high, but in terms of valuation risk and fashion risk, we see no problems, and certainly the November issue did not create any problems for us.
Sam Poser - Sterne Agee & Leach Inc., Research Division: Well, if I could just follow-up, if you -- initially, when you gave us guidance for the fourth quarter back at the end of Q2, you said you expected a 3% to 4% comp, now you expect a 1% to 2% comp. Wouldn't that mean that little -- that the inventory was bought to support the 3% to 4%, not the 1% to 2%? So I know you make adjustments all the time, but probably, [indiscernible] you didn't make some of those adjustments. So just that's where I'm going with it.
Robert J. Dennis: Yes. Sam, look, first of all, within the Journeys world, we have a great history of working any inventory position without a lot of hazard to gross margin. Our vendors are very helpful in working with us. And so we figured out how to deal with that and we have a history of doing that in the past. And in the Lids world, as you well know, a large, large chunk of the inventory is carryover, and so we adjust that with receipts. So as I said before, we're very comfortable with the inventory that we have in place. Jim, do you want to...
James S. Gulmi: Yes. I was going to say, Sam, we talked about this issue at the end of the second quarter in that the Journeys' comps were -- we said they were disappointing at the end of the second quarter, but we were able to adjust and the gross margins came in really well and just because of the relations we have with vendors, et cetera. So -- I mean, that continues. So again, a one quarter issue is -- I mean, one month issue certainly is not creating issues for us as a result of that flexibility and dealing with our vendors.
Operator: And we'll take our next question from Steven Marotta with CL King & Associates.
Steven Louis Marotta - CL King & Associates, Inc., Research Division: I know we've been over this a couple of times. I'm just trying to understand it a little bit more linearly. As it pertains to the gross margin, Jim, you mentioned in the CFO commentary that the consolidated gross margin were down 50 basis points primarily due to Lids. Can you talk specifically about when the price reductions occur there a year ago? I was under the impression that it was late in second quarter, early third quarter. But based on the decline here, maybe it was a little bit more through the third quarter. Can you just talk a limit bit about when the bulk of those occurred and if there are the reasons why Lids gross margin might be down?
James S. Gulmi: There are other reasons, but we didn't say that about the Lids. I think you got your quarter a little off. We said it occurred -- the anniversary-ing from a pricing standpoint began in late third quarter. I think, we've been pretty consistent on that, okay. I don't think we said much about the second quarter. I think, we've said the third quarter all along. So it was late in the third quarter, and we really didn't see the effect very much. We saw -- because the gross margin stabilized, but the pricing came down. But the pricing seems, we believe, will be stabilized in the fourth quarter. So it wasn't the second, third, it was mostly late in the third quarter. Now that was part of the gross margin issue in Lids, which I talked about in my commentary. But also, early on in the quarter, they did get a little more promotional. We've been saying all along that the inventories are little high. And one of the reasons -- one of the ways to get our inventory down is to get little more promotional in addition to cutting back on future receipts. So it's partly the snapback issue, which hopefully will stabilize in the fourth quarter, which we believe will stabilize in the fourth quarter, and then we got a little more promotional earlier in the quarter.
Steven Marotta: And I'm assuming the over-distribution issue that you saw a year ago as it pertains to snapbacks is significantly lower this year.
James S. Gulmi: Yes, we believe so. Yes.
Steven Marotta: Okay. Also, I want to talk to you a little bit about the shoe retention bonuses. Can you talk about the aggregate number of shoe retention bonuses this fiscal year? And I know that's going to be bleeding off shortly and what's -- that number is expected next year, and I'm most interested, obviously, in the delta of those two.
Robert J. Dennis: Yes. First of all, it's a contingent bonus tied to performance, not a retention bonus. And just as background for everybody else, this is the bonus that is payable if they hit an upside scenario, which they have been tracking to very nicely over the period. Obviously, things have slowed down this year. But they're still tracking to make likely 100% of the upside bonus for where they are at the moment. And so, if you look at the time of that now, Jim...
James S. Gulmi: Okay. The -- for this year, it was in my script on, but we said that the contingent bonus accrual, which is what you're talking about, we anticipate it to be, this year the accrual to be $13.7 million, which is about $0.45 per share. And if you go back and look at my commentary over the last few quarters, that number's changed. Some of it's come down because Schuh has not performed as well as expectations. I believe it was close to 15 or -- it was close to $16 million at one point, so it's come down on -- to $13.7 million. Now to answer your question, what is the amount for next year? And as a result of that, the amount for next year has gone up and it's somewhere in the range of $10 million now, pretax.
Steven Marotta: And that will exhaust the 100%, correct?
James S. Gulmi: Yes, that's correct.
Steven Marotta: Okay. Lastly, sort of encapsulating Journeys problems, Bob, I know you're reticent to speak specifically about brands at Journeys, but can you talk a little bit about -- and again, this sort encapsulated brand turnover there has not been as aggressive as it's been in the past. That may have been a problem that pertains the comp this year. Can you talk a little bit about brand turnover there and maybe some specific levers, without mentioning brand specifically, that you're pulling there in order to gain better traction from a comps standpoint?
Robert J. Dennis: Yes. The first, you're right. We are reluctant to talk about specific brands, and we're going to stick to that. The general theme that we've been calling out which is worth repeating is that if you look at the a general divide of the store between athletic and casual, and casual includes all of the boots, there is a general trend towards casual gaining share at the expense of athletic. And that has been a sustained trend for several years now. When you then look at that trend by quarter, the casual takes a big bump up in the fourth quarter. So what gets us encouraged going forward into the fourth quarter is that what is more compelling and has more newness and more excitement is on that side of the store, and that becomes a much more important part of the business in the fourth quarter. As you can imagine, the Journeys guys are constantly working and testing and looking at new opportunities. We do see brands emerging that are exciting for us. But some of the stuff on the athletics side is stalled a little bit and that has become -- that had become a pretty big part of the business. And so we need a more pronounced shift for an overall result to start to look positive, and that's what everybody is working really hard on right now.
Operator: We'll take question from Pamela Quintiliano from SunTrust.
Pamela Nagler Quintiliano - SunTrust Robinson Humphrey, Inc., Research Division: So, I've actually got a few. The first one, you mentioned the November trend's disappointing, and sorry if I missed this, but can you give us some more color on what you attribute that to? We have heard a lot out there about dismal mall traffic levels. Do think that's a factor? Or what else is it? And then any visibility, specifically on Black Friday weekend and trends there would be helpful. And then last but not least, there is also a lot of talk about for headwinds for holiday. How do you think your various customer bases are approaching spend? And are you doing anything differently throughout your divisions to address that for the holiday season?
Robert J. Dennis: So let's talk about the trends. When you get into the fourth quarter, historically, and this goes back to Scott Krasik's question at the very beginning. It is harder to look at comps as a measure of where you stand, because the amount of offset in the calendar becomes more pronounced. So then you fall back on how am I doing against a plan, basically each of the divisions' budgets, and they spend an awful lot of time trying to figure out what the likely sales by day is. And so, we -- the first point is we feel that there's more imperfection in our forecasting of the fourth quarter than there is for other quarters. And this quarter has gotten even tougher because if you go back, and this gets into the part of it, but if you go back to when we last had a Thanksgiving where it is, that was the days when the mall didn't open up until Friday morning at 6 a.m. And so are you, by opening earlier, are you actually capturing more sales? Or are you just moving them around? It's a little hard to say. So, given all of those things and the promotional environment pre-Thanksgiving, which is also new news, our team did their best job of trying to figure out where sales per day comes out to achieve that comp, and that's what we're benchmarking ourselves against. So on that basis, we were a little bit disappointed. Now, if you look at the 4 days, the Thursday through Sunday now that represents Black Friday and compare it to the Thursday through Sunday of Black Friday a year ago, we were up high single-digits. And we're glad we were up high single-digits, but that was not enough relative to the way we had planned it out. And so that's the basis on which we have sketched out the guidance and reset our expectations a little bit. But I, again, put the accent on imperfect. In terms of headwinds for holiday, let's not overstate this. We were targeting about a 3% comp and we've guided down to a 1% to 2% comp in an imperfect world, so that doesn't necessarily scream a lot more headwinds than what we had expected. And so I don't have a lot of views -- we don't have a lot of views on how consumer spending has changed. Obviously, digital is playing a bigger role and we think we're well prepared to address that. Digital had a very, very big gain in terms of the Black Friday result versus Black Friday result. So if you do the same thing just for digital and you do orders, because we book it as we ship it, our overall U.S. digital business was up deep into the double digits. So there are some indications that we're doing well. It's just that when you map it out against our plan, it causes us to get a little more conservative about our predictions.
Pamela Nagler Quintiliano - SunTrust Robinson Humphrey, Inc., Research Division: And if I could just do one follow-up, because we were actually very impressed with the traffic levels at the stores throughout the Black Friday, Thanksgiving and Black Friday weekend, given how promotional the entire mall was an you guys didn't really participate in the same way, as we -- as I think about the customer base, do you -- as you were planning for the holiday season, how big a deal do you think of your whole electronics cycle is for your guys? Or do think they're really saying we -- it's the pair of shoes, it's the hat, or it's the Xbox and PS4? Just is there a way to think about that? And then following up with that, so do you structure promotions differently to be more eye-catching, reflecting that, because it's harder being that you put it in line with this crazy environment that we're operating in with traffic and promotions as well?
Robert J. Dennis: Yes. Well, with the electronics, we are -- you're right. We always are competing for share of dollar in the team's wallet. And we've competed well for that. This is predictably a stronger electronic cycle this year, so that's another one of our challenges. We are not going to move and become a lot more promotional in terms of some of the things that you saw others doing on Black Friday. We're a branded retailer. We have relationships with vendors, and our long-term commitments with those vendors is to try and present their brands in the way that works for them and works for us. And because those brands generally get that treatment by most of their distribution, we don't get shoved into that big promotional environment. So we will continue to do what we do, which is to drive growth with great salesmanship. We will be promoting on items that just aren't selling. So it'll be more marking down things that, obviously, for fashion reasons need help. But I do not expect us to be driving the store-wide kind of promotions. We just don't feel we need to do that and it isn't really on our strategy.
Operator: Will take our next question from Jill Nelson from Johnson Rice.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: A quick follow-up on Journeys. You talked in the fourth quarter, the shift goes into casual versus athletic. Given that, coupled with, if I guess, more favorable weather this year for boots, it assumes -- did you assume November comps for the Journeys division to be stronger than that came in, or...
James S. Gulmi: Yes, we -- as I said, we had a -- again, we're working off the sales budget. We pay more attention to the budget than comp. And through last Tuesday, we were coming in a little light pretty much in all of our businesses, except for Johnston & Murphy, which has been extraordinary.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Okay. And in the main factors there, you think is kind of macro versus merchandise issue?
James S. Gulmi: Yes, absolutely. Because they're across the board and we're watching what other people are reporting and we're just looking at traffic patterns. And the million-dollar question is, is the traffic softer across holiday, or is it the traffic shifted and will the customers come out stronger closer to Christmas? Every year, it seems that more sale get pushed closer to Christmas and then after Christmas, as we train the customer to wait us out. So we're very alert to that, and so we don't panic when we're down 100, 200 basis points to our plan at this point in the quarter.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: Got it. Then last question, the strength in Locker Room for the third quarter. If you could talk about going in to fourth quarter, assume it makes up the greater percentage of your mix versus the 20% you gave for third quarter. If you could quantify that and talk about some things that could be going on in that division.
Robert J. Dennis: I don't know if we're prepared to quantify it. I'll give you -- the general theme is that the position we had in NFL apparel improved a little bit last year third quarter and fourth quarter. But we still believe that we will have a stronger position in the fourth quarter than we had last year from an inventory standpoint. So one of the big drivers of the Locker Room business, we think, persists throughout the fourth quarter. And then the rest of what's going on in Locker Room is just the general merchandising, consistency and a very, very strong thinking that the merchants have put in place. And we think that will simply play out on its own regardless just for everybody, because what you're referring to is maybe not everyone is aware of it is that Locker Room, as a percent of sales, is more concentrated in Q4 than is the hat business. It is even more gifts-driven, and so the fact that Locker Room is doing well go into fourth quarter is a big plus for us. Jim, do you have anything to add to that?
James S. Gulmi: No, no. We -- I can just say that there is no reason to think that the NFL business will not continue to be strong. But I can also tell you in our guidance, we've taken it down to be more conservative, just to be careful. So do not assume that our guidance is based on a continuation of the very high comps. We'd normalize that, and hopefully we're being conservative.
Jill R. Caruthers - Johnson Rice & Company, L.L.C., Research Division: And just a clarification. Is it safe to assume, this margin difference between your core hats versus your Locker Room mix, is there a big difference on gross margin, or...
Robert J. Dennis: Yes, the hat gross margin is higher.
Operator: And due to time constraints, we'll take our next question from Mitch Kummetz with Robert Baird.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Jim, I think you know that this one is coming. So on your comp outlook for Q4, you're saying 1 to 2 comp, a little help in terms of how to think about that by concept. And then also, even into next year, you guys, I think you've said low single-digit comp for fiscal 2015, again, any direction by concept would be helpful. Thanks.
James S. Gulmi: I can help you with part of that question. On the fourth quarter, it's basically Journeys low single-digits; and Schuh, we continue to expect that to be negative, some improvement, but negative as it was in the third quarter. Because, as Bob said, we really don't anniversary that business until the fourth -- the first quarter of next year. At Johnston & Murphy, continue to -- high single-digits there. And then in the Lids business, even though the momentum is great, we've taken that down some, and so it's 4% to 5% -- we're 5% in the third quarter, taking that down to low single digits. And then for next year, we really haven't -- we're very, very early in the process, so I don't -- I really can't break it out for you at this point other than, say, it's going to be a low single-digits comp, but I can't break it out by division yet.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then, Bob, on Lids, I think you'd mentioned -- and correct me if I have this wrong, but I think you said on headwear for the quarter, snaps were down 6 on comp, and then the balance of the business was up 2, is that correct?
Robert J. Dennis: That's correct.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: So how has that -- how does that compare -- particularly on the non-snap side, how does that plus 2 compare to kind of what the trend has been for the last couple of quarters? Do you have that info?
Robert J. Dennis: Not handy.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Is it -- do you think it's better? Or is it comparable? Is it worse?
Robert J. Dennis: I think, it's definitely better.
James S. Gulmi: Definitely better.
Mitchel J. Kummetz - Robert W. Baird & Co. Incorporated, Research Division: Okay. And so that side of the business is trending more positively then, so?
Robert J. Dennis: Yes.
Operator: I'd like to turn it back our speakers for any additional or closing remarks.
Robert J. Dennis: Well, thank you, all, for joining us and we're -- I think Jim had one other comment just following up on Sam's e-commerce question.
James S. Gulmi: Sam's question was; there was a -- based on my commentary, there was a pretty dramatic fall off in the Lids direct business, and that is true. And actually, our comp for the quarter is based on the lower comp for Lids. And the reason is that last year between the third and fourth quarter, the Lids direct business really took off; and in the third quarter last year, it was around 3%; and then in the fourth quarter, it was about 27%. So what we did is, in our guidance, we are anticipating that the 40% that we were running at the end of the third quarter would -- will fall off quite a bit, because we're anniversary-ing such a big increase last year. So there is some fine-tuning in November and why it was exactly where it was, but the big issue here is that we are anniversary-ing the big increase last year in the third -- in the fourth quarter.
Robert J. Dennis: Thank you, Jim. And with that, we'll speak to you early next year and talk about how holiday really came out. Thank you, all.
Operator: And this concludes today's conference. Thank you for your participation.